Mizuho Shen: Welcome to the Recruit Holdings FY 2022 Earnings Conference Call. This call is simultaneous translation of the original call in Japanese and translation is provided for the convenience of investors only. I’m Mizuho Shen, Group Manager of Investor Relations and Public Relations. And joining me today are Hisayuki Idekoba, Representative Director, President and CEO; Yoshihiro Kitamura, Managing Executive Officer, Matching and Solutions business; and Junichi Arai, Executive Officer, Corporate Planning Division.
 The first 30 minutes at this call will be the fireside chat among the 3 participants and the latter half will be Q&A session. Please refer to the earnings release, FAQ and 4 presentations regarding the full year financial results and our 3 management strategies available on our IR website, which are Simplify Hiring, Help Businesses Work Smarter, Prosper Together. Although our COO, Ayano Senaha, is not participating today, we will have a separate event to give an overview on progress of our ESG strategy, Prosper Together, on July 4. Details will be provided as soon as possible.
 Now I will turn the call over to Jun. 
Junichi Arai: Thank you very much. First, I have a few questions to you, Deko. How do you plan to navigate the near-term challenging economic environment? Any measures you have in mind? 
Hisayuki Idekoba: It is all about preparing for the worst and doing the best we can. As you know, the global HR matching business is heavily impacted by the economic environment. And therefore, it is very important to continue investing for the future and improving the efficiency of our business, while conservatively assuming a downturn followed by a period of economic stagnation. 
Junichi Arai: Thank you. In the first half of fiscal year 2022, you hired aggressively in HR technology and then reduced the workforce at the end of the fiscal year. There was such fluctuation during 1 fiscal year, and some have pointed out that it was an error in management decision. Can you please explain the sudden change in the business environment, changes made in the business operating structure and execution of multiple actions. 
Hisayuki Idekoba: Yes. Historically speaking, the tight job market has shown gradual improvement over the past year as we assumed. However, in comparison to the 2008 and 2009 recessions were approximately 2.7 million jobs were lost over a 2-year period. The number of jobs in fiscal year 2022 alone has declined by around 2.5 million. It has been challenging to predict the speed of this decline. It was also difficult to predict that company's willingness to spend on hiring would decline at a rate faster than the decline in job openings. Based on such rapid change, we paused hiring in our HR Technology business in October last year. And in March, we announced the workforce reduction. We are currently working to further optimize organizational efficiency and productivity. 
Junichi Arai: Our policy for the past few years has been to disclose financial guidance in the beginning of the fiscal year. Why not this year? What is so different this year compared to previous years? 
Hisayuki Idekoba: We are managing our business on the assumption that a recession is likely to come this fiscal year. However, to forecast the depth and length of the recession is nearly impossible. And the degree of uncertainty is so different compared to the same time last year. we intend to provide fiscal year guidance again when the outlook becomes clearer. 
Junichi Arai: Okay. For this year, fiscal year 2023, what kind of business environment should we expect to see a revenue decline of, let's say, 20% for -- to our technology. 
Hisayuki Idekoba: As I mentioned earlier, from 2007 to 2009, the number of U.S. open jobs fell 2.7 million from a peak of 5 million. Back then, the leading U.S. job advertising company at the time saw its revenue drop by about 30% despite having long-term contracts with employers. Indeed's business model is not based on long-term contracts with employers, therefore, the correlation between the number of jobs and revenue is much stronger in the short term, leading to the potential for significant fluctuations in revenue. Therefore, revenue of 20% or more in fiscal year 2023 is possible depending on the severity and timing of the downturn. 
Junichi Arai: If the revenue of the HR Technology business were to decrease by 20% what would be the level of the adjusted EBITDA margin? 
Hisayuki Idekoba: Given the recent cost reduction measures, and assuming we maintain our current cost structure, we should be able to achieve mid-20% adjusted EBITDA margin for the full year. However, there is a possibility that it may fall below that level in the short term during a rapid economic deterioration. 
Junichi Arai: If the business environment deteriorates further than the worse-case scenario you mentioned earlier, will you implement another head count reduction or further cost-cutting measures in the HR Technology business? 
Hisayuki Idekoba: Well, we are managing our business under the assumption that a recession will come in this fiscal year. For the time being, we will not resume hiring activity, but we are expecting decline of head count through attrition. But having said that, certain change in environment could happen. We will continue to manage our business wisely and will consider all options if conditions are worse than our expectations. Even then, the recession will impact all companies in the HR industry, including our competitors. And compared to other competitors, we have a relatively strong balance sheet to survive and hold ample cash and minimal debt. 
Junichi Arai: I see. So changing the question, you said that revenue generated per successful hire through the HR Technology business is less than 1% of the annual base salary of the candidate last year. In the recovery and expansion period after a recession, will it be possible for the rate to double or even triple? In that case, what do you think will happen to revenue and adjusted EBITDA margins? 
Hisayuki Idekoba: Recruiting agencies and headhunters charge about 25% to 30% or even more of a candidate's annual base salary as a performance fee. We are not immediately aiming for that. But if we add more value to employer's recruiting process through advancing technology and improving matching efficiency, we can possibly get 1.5% to 2%, for example. We will continue running tests to achieve this goal. If these tests succeed, we will continue to make upfront investments for the next phase of growth and challenges.
 I believe many of the most successful technology companies in the world are able to balance mid- to long-term growth rates and healthy margins. As a growing technology company, we are also committed to growth rates and margin. And therefore, if mid- to long-term growth rates were to slow, we would plan to deliver higher margins. But we are still in the growing phase. 
Junichi Arai: I see. You mentioned that you will advance the technology and improve matching efficiency. How will the recent advances in AI affect Recruit Holdings? Is the competitive environment going to become tougher? 
Hisayuki Idekoba: Well, recently, I have received many questions regarding AI. I think many of you have used ChatGPT and are feeling the evolution of AI. Well, GPT of ChatGPT stands for generative pretrained transformer. The important part is the pretrained part. In other words, ChatGPT is not using a  theory that is significantly different from previous machine learning systems. However, it is pretrained. In other words, it replies with something that has been trained by some data in advance.
 The very important thing here is what type of data is being used to train the system. In other words, without the data to pretrain the system, it doesn't work. Recruit Group has access to online and off-line data that only we possess. For example, in the past year, there were 2.5 billion job applications submitted on Indeed. This uniqueness, the quantity and quality of the data the competitors don't possess is the most important thing.
 For example, what are the different skills, attributes and preferences that lead to a hire versus others that end up in rejection. At the same time, we recognize the importance of ensuring that our data and its outputs are safe, accurate and free from any potential biases. We are confident that our unique data set can improve the quality of matching. And I strongly believe in our company's ability to harness the power of machine learning and AI effectively. As long as we possess the most comprehensive and relevant unique data, I'm confident that we can maintain our competitive edge in the market. 
Junichi Arai: So now questions to you, Kitamura-san. You talked about the Marketing Solutions business and the HR Solutions business separately under the Matching and Solutions SBU. I understand that the HR Solutions' aim is to grow using a matching engine. In the midterm, should we expect an increase in revenue or an improvement in margins? 
Yoshihiro Kitamura: I would like you to imagine revenue growth in the midterm. The HR Matching market in Japan is very fragmented. And we are partly responsible for that. There are many HR companies specialized to each industry, job type, employment type and region. Job seekers and employers fit themselves to this situation.
 Previously, we also defined the market as the area our salespeople can cover. However, by evolving our matching engine and promoting a self-serve model in which AirWORK ATS enables its employers to create job advertisements and automatically post them to the most appropriate matching platform, we believe we can expand our services regardless of the specialty, sizes and regions. This will simplify options for individual users and business clients. Therefore, we believe revenue will grow in the medium term.
 Additionally, the HR Matching business is heavily impacted by the economy. Therefore, with the evolution of the matching engine, we will also work on moving away from a labor-intensive model. 
Junichi Arai: Thank you. For Marketing Solutions, the strength of your existing vertical businesses stands out while you're making upfront investments in new businesses, such as FinTech Services. From a midterm perspective, should we expect an increase in margins by improving the efficiency of the operations? Or should we expect an increase in revenue from new businesses but will not lead to an increase in margins due to upfront investment? 
Yoshihiro Kitamura: In Marketing Solutions, we will build on the strength of each vertical's existing businesses while working on collaborating between existing and new businesses. You may think Marketing Solutions' existing businesses have no connections with Fintech Service, but that's not the case. With many matches already being made on the matching platform, it will be convenient for both individual users and business clients if we could not only make reservations but also complete payment at the time of reservation. For us, this would mean an increase of GPV in our ecosystem. While the revenue contribution of Fintech Services in the midterm may be limited, we believe it can contribute to long-term growth.
 Similar to HR Solutions, we will work on moving away from a labor-intensive model and aim to maintain a stable margin while making upfront investments. 
Junichi Arai: In July last year, you said, in the midterm, we target revenue of JPY 1 trillion and adjusted EBITDA margin in the low 20% in the Matching & Solutions business. Do you plan to achieve this target through both growth revenue and margin expansion in HR Solutions due to its continued evolution and an improvement in margins in Marketing Solutions? 
Yoshihiro Kitamura: As I explained, we believe that this could be achieved through revenue growth in HR Solutions with the evolution of HR Matching businesses, stable revenue growth of Marketing Solutions and margin expansion in both HR Solutions and Marketing Solutions.
 For the long-term opportunity, I talked about Fintech Services. Thanks to early efforts and strategic investments during the post-COVID '19 recovery period, we are on track to achieve this midterm target for now. 
Junichi Arai: I see. Should we rather consider the 2 subsegments separately and expect different evolutions? Or in the presentation, you also touched on collaborations between Marketing and HR solutions. 
Yoshihiro Kitamura: Well, as the Matching Engine is shared across the group, I'm aware that the time has come for the group as a whole to consider revising its segments. Of course, each segment should achieve its target, but I think it is important for the group as a whole to evolve in line with its strategy and growth. 
Junichi Arai: Thank you. Lastly, I would like to ask both of you about the specifics of creating new business models and collaborating between segments and businesses. I felt of the future. What do you think our company will be like in 5 years? I would like to get some hints that will spark the imagination of the capital market participants. 
Hisayuki Idekoba: I will start. The moment you think it's complete, it begins to degenerate. So we always need to keep evolving, and we will continue to do so. Five years from now, I want to be used by more business clients and individual users. By doing so, I believe that the scope of our business will naturally expand.
 In fact, Air Business Tools is celebrating its 10th anniversary this year, and we have released a special website that summarizes the voices of many businesses and the history of our products. We hope you will take a look at it and look forward to the next 5 to 10 years.
 Looking back at the history of Recruit, we could not imagine transitioning from a magazine business to an Internet business. We also could not imagine then evolving into global businesses and into SaaS business. I would like Recruit to continue to be a company that changes and evolves in ways that we cannot imagine today. 
Mizuho Shen: Now we would like to proceed to the Q&A session. First, we take questions from the media. We're going to be taking 2 questions at a time. First of all, from [ Nikkei Shimbun ], Sato-san, please go ahead. 
Unknown Analyst: Hello, this is Sato speaking. Can you hear me? 
Mizuho Shen: Yes, it's loud and clear. 
Unknown Analyst: So I'd like to listen about the impairment, about office consolidation and software-related impairment was booked in the previous fiscal year. In this fiscal year, are any of them going to be carried over? 
Junichi Arai: Well, largely, there are 2 elements, as I mentioned during the presentation. In HR Technology, there is one-off loss. In the first quarter, there is a small amount that potentially may be booked, but the majority have been booked in the fourth quarter already.
 In other businesses, software-related impairments, goodwill impairments, these are normally judged at the end of the fiscal year. So it is rare to have them booked during the fiscal year. But depending on the business environment, if there is such judgment in the end of the fiscal year, we may decide to put them. Thank you. 
Mizuho Shen: Are there any other questions? If we do not have questions from the media at this point, we will go to sell-side analysts and come back to media again. So sell-side analysts, if you have any questions. BofA Securities, Nagao-san, please. 
Yoshitaka Nagao: This is Nagao from BofA Securities. I have one question to President Idekoba and President Kitamura. So first of all, Idekoba-san, you talked about HR Technology EBITDA margin mid-20s. You gave us one projection. If you could break this down, give us a little more color to this. So growth investment, 20% -- mid-20%, including the growth and recession. So is this the minimum that you can maintain? So this mid-20% positioning in the overall picture, please?
 Can I go on to the second question or... 
Mizuho Shen: Yes, please. 
Yoshitaka Nagao: So Matching & Solutions business, thank you very much for detail. So roughly, it's the Marketing Solutions and HR Solutions. In both businesses, EBITDA margin -- what does your EBITDA margin look like in the stock market due to COVID, restaurants, dining and travel were hurt -- hit, but HR business seems to be solid. That is the image the stock market has. So when you break these into the 2, how was it in the year that just ended? And how do you project for this year? 
Mizuho Shen: So Idekoba-san. So HR Tech business EBITDA margin was your first question. 
Hisayuki Idekoba: Of course, the medium- to long-term growth investment and the short-term margin needs to hit the right balance. At all times, we need to hit the right balance and you ask me for a little more color. So the HR-related business, in most cases, marketing cost, is performance marketing. It's not fixed cost. It's the LTV, how much return and how many months. So that is the kind of business we run.
 And during the recession or economic downturn, customers' revenue, the business clients' revenue outlook becomes lower. And the user -- individual users, the job seekers' cost -- acquisition cost declines. And so the marketing cost can be controlled quite flexibly. So with the economic downturn, it becomes less expensive, less cost.
 And the first quarter outlook has been announced. EBITDA margin is quite high. So we will look at the -- we are looking at the economic downturn, and we think we are well prepared. So at which speed the economy will slow down will be ascertained and continue our investment. And you mentioned minus 20%, but at that level, we think we can achieve this mid-20% EBITDA margin. So that's the kind of control we have. Does this answer your question? 
Yoshitaka Nagao: So even at revenue of minus 20%, you can still secure the mid-20% EBITDA margin. And beyond that, you will hit the right balance with the growth investment? 
Hisayuki Idekoba: Yes. We are not reducing the medium- to long-term growth investment. The short-term client decline is now being controlled in the short term, and we think we can address this sufficiently. 
Junichi Arai: The underlying premise is, as of April 1 this year, this is the analysis based on April 1 staff number. But those who are determining the long-term direction are still being secured. So just like Idekoba-san just said, we do not intend to stop the long-term investment. So even at revenue down of 20%, with the current structure, we can secure the mid-20% EBITDA margin. 
Yoshihiro Kitamura: So let me respond. So this is the Marketing Solutions and HR Solutions EBITDA margin status. So the numbers for last year and this year's outlook, please look at the disclosed document. But during COVID, for the past few years, Marketing Solutions' EBITDA margin has remained basically flat, unchanged. With the COVID-related restrictions of the dining and others were damaged somewhat. But on the contrary, because, thanks to COVID, there were businesses that grew. And therefore, revenue, there were ups and downs in different segments.
 And at the same time, EBITDA margin for Marketing Solutions as the businesses that shifted to platform were in line with the revenue. So the marketing fee shifted to variable costs. And so despite the COVID, Marketing Solutions' EBITDA margin did not fluctuate much.
 On the other hand, HR Solutions, temporarily, there was a pause of hiring during COVID, but there has been this chronic labor shortage. And therefore, as a market, despite COVID, it was relatively active. That said, after market shrunk at the restart timing, the size of the market share at the restart timing determines the market position the following year, the year after that.
 And this is what we learned from our experience in the past recessions. We knew this from our experience. And so for the past few years, for the HR Solutions, we used promotion fee and development fee, we spend much cost. And therefore, for the past few years, overall, HR Solutions EBITDA margin had declined. This fiscal year, we have a good reasonable position. So we will return to the original margin level. I hope this answers your question. 
Hisayuki Idekoba: Yes, let me add some more information. So this time, we integrated our organization, and this is just a rough number. The EBITDA margin for each businesses, each segment is disclosed. So Marketing Solutions, 25%. And HR Solutions, 20% -- 12% for last year.  
 In this year, full year margin target is 28% -- around 28% and around 22% for HR solutions. So for the entire segment, we said around 14.5%, and it was 14.4% as a result. And this year, including headquarter cost and overhead, after excluding them, it is 20%.
 And so like Kitamura-san just said, Marketing Solutions was high, and we're aiming for higher margin. HR Solutions has changed its face, so 12% -- up to 22%. So that is what we are envisioning. But the Japanese market situation, this is based on the assumption that Japanese market does not change. So if there is a change in the business environment, this is subject to change. 
Mizuho Shen: Thank you. Next, Mori-san from JPMorgan. 
Haruka Mori: This is Mori speaking from JPMorgan. I have two questions. First one is in the North American market, what is the current situation? What is happening? And what could happen going forward? That is one thing I would like to focus on first. In the quarter, the volume of sponsored job decline was 30% previously. And in this first quarter, it is -- excuse me, in this January to March quarter, it was once again 30%.
 And the revenue is continuing to decline. And I believe we have been losing opportunities even if we allocate the budget. The job market could downsize to half of what it used to be before COVID. But this sponsored job advertisement, is it going to fluctuate similarly to the market? Or is it likely to have larger decline? If it is in line with the market, the sponsored job volume is declining rapidly. And I imagine that it could hit the bottom earlier.
 Regarding Indeed, it is becoming a benchmark for those looking at macroeconomic situation. So I'm sorry, my question is focused on short-term perspective, but what is happening now in the market? And in the worst-case scenario, are you expecting any difference in the time line of sponsored job volume in the market? And regarding Indeed from sponsored job, I believe it is shifting to automation and you have CPA-related initiatives as well. In this fiscal year, I understand that the impact is going to be limited. But the balance of the entire volume and unit price, when are we going to see -- start to see some impact? I believe penetration will be faster during economic recession. In next fiscal year, are we going to have a different view? What is your impression so far? I apologize, my first question is so long.
 And moving on to my second question. This is to Kitamura-san. Earlier, in the domestic M&S business, you mentioned that there is a larger potential for revenue growth in Marketing Solutions. And in HR Solutions, you have Indeed in Japan, and there's media and referral, recruiting is something you've been focusing on recently there is ATS as well, there are many things. In 5 years, the domestic HR market, what is going to be in the revenue structure for you? I do not have a clear image of how this could change. Where do you see business opportunities in 5 years? That is all. 
Hisayuki Idekoba: Well, that's a very good question. Now let me first respond to your long first question. I will try to respond. First of all, this is something we talked a lot about last fiscal year. In the beginning of previous fiscal year, what we used to say was the economy was going to a recession. And there is shortage in the HR market, and there is going to be an imbalance between them. And this is the first time where you would be observing this imbalance in the modern age. That's what we talked about in Davos meeting as well.
 In the North market -- North American market, especially, just like Japan, workers' aging is noticeable. One element is COVID. But in mid- to long-term perspective, in 5 years' time, immigrant workers continue to decline. And when we look at monthly data, well, you may think that the HR market is pretty strong on a monthly basis. But if you look at the content, most of the positive growth is coming from hospitality, including restaurants, dining and in health care. These are the only areas where you see positive growth. 
 Therefore, if you look at the details, the -- there's deterioration of the economy and imbalance with the HR market is becoming a reality. Under such circumstances paying for sponsored job advertisements, well, we are calling this self-serve type model and clients can choose to buy or not to buy online. So there is bankruptcies. And when there is a series of them you see slow down, but when the media starts saying it seems to be okay, we see that there is -- the activities are warming up. So I believe this is very susceptible to such changes.
 And as we mentioned earlier, European central banks and the U.S. central banks, governments are looking at our data as preceding indicators. And as you said, well, this is unprecedented. So the number of job openings -- this is late by 2 months. So well, the first fluctuation we see is that they decide not to post job advertisements 2 months before. And it is possible that, that is going to hit the bottom first. But as we mentioned earlier, when we look at the total volume and in which area the revenue is the largest. Well, there is a gap between the two. Well, probably, globally, this is the first time we are observing such data for management purpose. So we will closely monitor the situation.
 Well, I talked about the short-term scenario, but in mid to long term, there is uncertainty in the U.S. economy. And there is no other way but to decline over time. That is going to be our assumptions -- that will continue to be our assumption in our business management. On the other hand, we will be improving our services at the same time.
 And now moving on to your second question using Matching Technology, that is going to be our initiative going forward. But what is not easy to see is in Europe, in the U.S., sentiment to spend on hiring atmosphere there is becoming much weaker. So offering them new technology is becoming more difficult. And we are afraid that we may struggle going forward based on the information we gather from daily conversations. Did I answer your question? 
Haruka Mori: Yes, it was very informative. 
Yoshihiro Kitamura: Now let me respond to your second question. So in the domestic HR market, hiring market, we are not overwhelmingly strong. There are many other services and competitors and the market is quite fragmented. In addition, compared to other G7 states, we have low liquidity of talent in the domestic market. In 5 or 10 years' time frame, such liquidity will never go down. There is a room for going up, though that is an external environment observation, and Matching Engine technology is our competitive edge. 
 And furthermore face-to-face service for referral or media service in the domestic market, we have various channels to extract data. And as we mentioned in the beginning, we possess unique data and the Matching Engine. When we combine the two, well, Indeed, Media Referral, Direct Scout, ATS they are expected separately on a monetization basis. But going beyond and across those orders for more convincing hiring experience is something we aim to achieve.
 In the domestic HR business, Simplify Hiring is our domestic strategy of the holdings company, and we also have Help Businesses Work Smarter as another strategy. In the overlapping area, there is domestic HR business. In this area, there is media and referral or placement service. And we need to take a step up in order to evolve ourselves. And in 5 years' time, we would like to maximize our business opportunities in the Japanese market. That is our intention of the current efforts. Did I answer your question? 
Haruka Mori: Yes. Just one follow-up. So mid- to long-term perspective, what kind of data or what kind of indicators are you going to be focusing on in order to grow this area? Have you made any changes? 
Hisayuki Idekoba: Well, in Marketing and HR Solutions, the number of clients has been our focus indicator. Well, the more job information we gather from more customers, it is easier for us to gather our users who are looking for jobs and regarding HR Solutions in media, some services are regional. So we need to make them open by using ATS, automated posting clients needs to be increased. That is one of the important KPIs. 
Mizuho Shen: Jefferies Securities, Mr. Takeuchi, please. 
?? ???: This is Takeuchi from Jefferies Securities. I have two questions. First, HR Technology, the market environment, so Idekoba-san 3 months ago. And now what is the difference in your view of the length and the depth of the economic downturn and Indeed, the expansion measures, how did prove to be expected -- proved successful? And how was it different from U.S. and other countries?
 Second, Matching & Solutions EBITDA margin, you said mid 20%. Could you explain your thinking behind it? Matching & Solutions or HR Technologies is still in the downtrend. And so Kitamura-san maybe holding back the investment you want to do, and it's 20% based on that? Or in the HR solutions, you are seeing more potential for profit. So you are seeing the profit improvement phase in sight? Thank you. Two questions. 
Hisayuki Idekoba: So first, HR technologies, market environment, how is it different from now and 3 months ago? It remains unchanged. Not much difference. As I mentioned earlier, the total demand, the number of job openings is still at a high level, historic high level. But compared to the peak after COVID, the decline from the peak in the past 1 year is as deep or sharp as we saw in 2008 and 2009. So we see a rebound.
 Despite the big drop like 2008 and 2009, the deceleration is not seen. So there's not much slowdown in the decline despite this big decline. So up and down. We thought 1 year ago, we thought it will be up and down. And we thought this labor shortage will continue. And that proved to be right. But the decline, the speed of decline, was much faster than what we thought last year and the year before that. So at this pace, this moment -- at this point, we think the drop will be pretty quick. And so that has not changed from 3 months ago.
 And the expansion measures, we usually do not think much of the market share, but looking at various numbers. Our share is increasing, as you can see. And as I've been mentioning from the past, expansion phase, it's difficult to hire people. So companies tend to use various measures. And during recession, the most efficient employment, the numbers tend to concentrate to most efficient part. So it's not that we do anything unique to capture market share. Our product is competitive, and that is why we are capturing the clients and raising our market share. 
Yoshihiro Kitamura: So M&S margin, let me respond. So the underlying premise is this fiscal year, we think, around 20%, but this is including the necessary medium- to long-term growth investment. So to answer your question, in HR Solutions we now have a good site. But at this restart timing, we need to evaluate and scrutinize the cost at this restart timing and also continue the necessary medium- to long-term strategic investment, and that lands us to 20%.
 And needless to say, my Matching & Solutions business that I'm in charge of is part of Recruit Holdings. So in this overall picture, appropriate amount of cost need to be used at the right balance. And if there's inefficiencies, we need to reduce the inefficient investment. And we will focus on that more going forward. As -- this is the entire Recruit Holdings way of thinking. We anticipate the worst -- we prepare for the worst.
 In this Media & Solutions, we will revisit the current cost, reevaluate and spend medium- to long-term growth investment continuously. Does this answer your question? 
?? ???: Yes. So on my first question, if you could follow up. So non-U.S. increase of share and increase of recognition, do you see any particular progress in countries outside of the U.S.? European countries, like Germany, for example. 
Hisayuki Idekoba: The job board -- original job board service market share was relatively high to begin with. In such countries, we are taking good market share. We have such data. Does this answer your question? 
Mizuho Shen: Thank you. Yamamura-san from Citigroup Securities, please. 
Junko Yamamura: Thank you for your presentation. This is Yamamura speaking from Citigroup. I have 2 questions. One is in HR Tech, CPQA, shift to CPQA, what is the progress as of today? There is confusion in operation and there is a media report that some clients are leaving for that reason. Has there been any negative impact on the recent decline from the shift to CPQA? Or is this only due to the external environment?
 And in the North American market, new clients, especially SMEs, I heard that they have no choice but to choose CPQA. If that is the case, I think that this is too rapid in terms of a change. What are some of the countermeasures? And what will be a trigger for further penetration based on your past experience to have any ideas? That is my first question. 
 And the second question is this is almost the same as the previous question, but I also would like to ask the upside of margins of HR Solutions business. The quality of improving its profitability, well onetime restart initial cost decline and reduction of promotional expenses, are these the only reasons for the decline? Or consolidation of the fragmented services will lead to structural improvement? Or is it both?
 And the HR solutions, I noticed that there are too many perhaps services. And when the situation changes, is it possible for you to spend more promotional expenses? What is the possibility in mid- to long-term perspective? 
Hisayuki Idekoba: Then I would like to first talk about CPQA and PPA, which is paying for applications. As you mentioned, there was a time that clients could only choose PPA. Well, that was a test. And for those of you engaged in the Internet business, I believe you have a similar experience. But if you ask a client to choose out of these 2, there is lower conversion if you have more choice. So if you have only one option, you tend to have higher conversion.
 In our case, as we mentioned before, for example, about 10 years ago, monthly fee was set. But when there is one click, you only have to pay when there is a click. Every month, we used to set a fee a long time ago. And some clients wanted a monthly fee because it was easier for them to understand. Well, even though the amount that clients had to pay continued to decline, some of them complained that it was too confusing. 
 So over time, we have made improvements. And today, I believe this is going to be another dramatic shift from the user side perspective. For example, within 48 or 72 hours, they need to respond, there is such requirements. So there is increasing appreciation from the job seeker side. So we have been explaining and trying to convince them why we are shifting in this way. And we have been testing to see what happens to the conversion. 
 As of today, PPA is not the only option. Maybe the conversion will be less. But we would have 2 options, for example, and test different ways of explaining that test is happening on a daily basis. So this is an area of innovation, and we need to struggle every time we innovate.
 So we do not rush to generate revenue. But we would like to make sure that people understand that this is for the better, and we need to strike a good balance with the convenience of the users. So that is why we have been testing all the way because this is important. Such test is going to continue to be conducted to gain further understanding. Does this answer your question? 
Junko Yamamura: Yes. So in the fourth quarter number decline, there was no negative impact. Can I assume that? 
Hisayuki Idekoba: Well, yes, when we look at the announcements of competitors, they have larger drop compared to us. So our side-by-side test results prove that it is not causing any negative impact so far. 
Yoshihiro Kitamura: Now let me respond to the question regarding the margin upside of HR Solutions business. So this time improvement consists of 2 elements. One is promotional expenses control and the timing of restart. We posted advertisements in various media. During the pandemic, there were a lot of people working from home, so the timing of becoming aware and taking an action, that pattern has changed. And we were aware that has changed. 
 In this HR Solutions business, we decided to use various media, and we have measured performance. And based on that result, we are now confident that well -- we aim to become confident that we can maintain good performance even if we optimize the promotional expenses. So by controlling the promotional and advertisement expenses, we would like to achieve a certain improvement.
 And the other element is at the timing of restart in addition to promotional expansion, there needs to be an operational effort also in the back side. And we had done that. Maybe semi-automation should have happened, but we could not do that in time. So as I mentioned in the beginning, there is a labor-intensive effort to secure certain positions. That is what we did.
 And in this fiscal year and in the next fiscal year, semi-automation is going to be done, and we will also have manual monitoring with human eyes so that we can improve operational fee. These 2 elements, we would like to improve the margin of HR Solutions business. Did that answer your question? 
Mizuho Shen: Thank you very much. With that, we will close our financial results call. Thank you very much for your attendance.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]